Operator: Good morning, and welcome to Camping World Holding Conference Call to discuss Financial Results for the Third Quarter of Fiscal Year of 2021. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that this call is being recorded and the reproduction of the call in whole or in part is not permitted without written authorization from the company.  Participating in the call today are Marcus Lemonis, Chairman and Chief Executive Officer; Brent Moody, President; Karin Bell, Chief Financial Officer; Tamara Ward, Chief Operating Officer; and Matthew Wagner, Executive Vice President. I will turn the call over to Mr. Moody to get us started.
Brent Moody: Thank you, and good morning, everyone. A press release covering the company's third quarter 2021 financial results was issued yesterday afternoon and a copy of that press release can be found in the Investor Relations section on the company's website. Management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These remarks may include statements regarding the impact of COVID-19 on our business, financial results and financial condition; our business goals, plans, abilities and opportunities; industry and customer trends; our 2019 strategic shift; increases in our borrowings; our liquidity and future compliance with our financial covenants; and anticipated financial performance. Actual results may differ materially from those indicated by these statements as a result of various important factors including those discussed in the Risk Factors section in our Form 10-K, our Form 10-Qs and other reports on file with the SEC. Any forward-looking statements represent our views only as of today and we undertake no obligation to update them. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as EBITDA, adjusted EBITDA and adjusted earnings per share diluted which we believe may be important to investors to assess our operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial statements are included in our earnings release and on our website. All comparisons of our 2021 third quarter results are made against our 2020 third quarter results unless otherwise noted. I'll now turn the call over to Marcus. 
Marcus Lemonis: Thanks, Brent. Good morning, everybody and thanks for joining us. Today in the room not only are the folks that the operator announced, but a dozen of our other senior leaders. And throughout the Q&A and the analyst calls, you'll be hearing from some of them if the appropriate question is asked they'll introduce themselves because you may not have heard of them before, but we're excited to have them here and plan on having them here going forward. What an amazing year it's been for all of us here at Camping World and I mean quite frankly in the RV lifestyle in general. Demand is at an all-time high. As with our prior calls we're going to break it down into two primary sections. And first we'll take a high-level financial summary look with additional information available on our 10-Q and our earnings release; and then second, we'll do an overview on the highlights of our operational progress. Adjusted EBITDA for Q3 was a record $288 million, a 33% improvement compared to a previous Q3 that was also a record in 2020. Our adjusted EBITDA for the trailing 12 months as of September 30, 2021 reached an all-time record high of $902 million. We couldn't be more excited about that. Record Q3 revenue was $1.9 billion for the quarter, an increase of 14% over the previous record. Our balance sheet improved nicely for the quarter with $515 million of working capital. We ended the quarter with nearly $312 million of cash consisting roughly of $133 million of cash and equivalents and nearly $179 million of available cash in our floor plan offset account and lastly, approximately $201 million of real estate without related mortgage financing. In the third quarter we repurchased just over one million shares for about $41 million and over the last 12 months, we've purchased north of three million shares for approximately $108 million. Look over the next three to five years, our goal is for our annual revenue to exceed $10 billion with our adjusted EBITDA surpassing $1 billion, assuming no material adverse changes in market conditions. Our plan is pretty simple: Grow our Good Sam revenue 10% plus per year, continue our brisk pace of acquisitions, and new store openings, targeting 12 to 15 per year. Significantly increased our used sales, looking to double the annual revenue from $1.5 billion to $3 billion. We currently operate 2600 service and collision base, and we plan to add nearly 500 to our existing locations, not including what we'll add through acquisitions and new store openings. We believe our performance will further strengthen our balance sheet, to enable us to return meaningful dividends to our shareholders as we do today, and to continue to make opportunistic stock repurchases. As we head into the next five years, we have several short-term goals that we believe will improve our overall performance and most importantly, expand our ecosystem. As I mentioned, starting in 2022, we plan to ramp up our annual expansion goal to 12 to 15 locations per year. And again that assumes, no material market change conditions. This growth should further enhance our relationships with the key and core RV manufacturers. In the last 12 months, we purchased over $2.3 billion collectively from Thor Forest River and Winnebago. These manufacturers will enjoy market share growth with our growth, as a result of our ability to identify and grow underserved markets through our internal predictive modeling. We feel strongly that these three manufacturers have the right mindset around innovation product discipline and a renewed commitment to improving the industry service infrastructure. The advancements over the last five years by them have far exceeded what I had seen in my previous 15 years. The optimism for all sectors of this industry has never been higher, from the manufacturers to the suppliers, to the dealers, and to the campgrounds we are feeling an excitement that I can't remember in my 20-plus years in the industry. This growth is being driven by an expanded demographic more sophisticated engineering and a marketplace that has been reminded, how much it moves the outdoors. I also believe that, the consumer has changed. They expect transparency and value as they should. One way that value is enhanced is with tools and programs that drive it. For current customers, I believe they want their asset protected. Their value supported and they want to have an ability to monetize their investment. Over the last 15 months, we have ramped up the Good Sam RV Valuator tool, and have successfully and profitably grown our used inventory to nearly $400 million at the end of Q3. That resulted in a 29% increase of used sales for the third quarter. Our trailing 12-month basis of our used revenue is $1.5 billion. It is our plan to deploy more human capital technological and financial capital towards continued growth in our used business, while it complements our new. We believe that, technology and process could grow that number to $3 billion annually in the next 36 months. For context, we believe there are over 950,000 pre-owned units sold annually between private party sales and dealer sales. Our robust balance sheet, service network, procurement process, and web presence are ingredients to achieving our $3 billion in annual used revenue goal. We plan to launch multiple marketplaces to achieve this, including a fully digital and financing marketplace. We're proud to announce that we have selected rvs.com as the pre-owned fully digital experienced brand. We did this for simplicity search optimization, and most importantly, domain authority. Today, the Good Sam branded Park network, which is the largest branded campground network in America, consists of over 2,000 parks. Our plan is to continue our expansion of this network, leveraging all the available assets of our company. This network supports the installed base of the RV community. It entices first-time buyers. And it improves our cost of acquisition for new customers and adds significantly to our overall database. Our Park network is very important both to the RV lifestyle as well as the financial performance of our company. We're in the process of exploring strategic opportunities to expand and enhance our presence in this lucrative vertical. Renting an RV through our new Good Sam RV peer-to-peer platform provides a ton of opportunity for us. We see multiple benefits from this platform ranging from expanding our Good Sam Park network, ramping up our mobile service initiative, sourcing additional used inventory through our rent-through relationships and increased sale of Good Sam products and services. It is our current plan to operate this peer-to-peer platform and in select markets during certain times of the year to have a rental fleet of our own. That fleet not only grows our relationship with our key manufacturers through purchases, but once RV units retire from the rental fleet they will fuel our pre-owned pipeline. This company has over 55 years of experience. And we feel that the future looks way brighter, than we've ever seen before. Our trailing 12 months adjusted EBITDA as of September 30th 2021 was $902 million. We're now increasing our full year 2021 adjusted EBITDA estimates, between $915 million and $930 million. We will be providing our 2022 financial guidance early next year but, we are very optimistic that we will outperform 2021. Our focus as a management team is to lead the RV industry and profitability. It's well within our sights. I'd like to turn the call over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Joe Altobello with Raymond James.
Joe Altobello: Thanks. Hey guys good morning. First question on demand, just an update there, are you guys still seeing an elevated level of first-time buyers coming into stores post the summer?
Marcus Lemonis: We are. In fact as we manage and monitor the leads that we get and through our omnichannel approach whether they're calling in, whether we're making outbound calls, whether we're seeing foot traffic in the stores or most importantly the digital leads we continue to see robust demand. And I think we're still surprised but encouraged, that first-time buyer halo that everybody thought would go away, just continues to be very, very solid.
Joe Altobello: Got it. And just switching over to inventories, in terms of the increase how much of that is units versus dollars? And maybe on the use side, is it still primarily trade-ins? And are those trade-ins older models? Are you seeing a disproportionate amount of RVs that have been purchased over the past year or two coming back to your stores?
Marcus Lemonis: On the new side, we started to see an increase in our inventory in the latter part of the quarter almost like the last three weeks of the quarter and have continued to see some level of stability, but we would expect that this time of year, because the retail seasonality it's not as good as it is in peak selling season. And so we're starting to get some normalization, but we are still very far off from where we want to be not only as an industry but as a company as well on the new side. Manufacturers in our opinion are doing an unbelievable job of procuring the parts, and the pieces and securing the labor, dealing with COVID issues and they have done a spectacular job not only servicing us, but servicing the rest of the dealer community that we need to be healthy for this industry to be healthy. On the pre-owned side, as we've talked about before, we use proprietary tools to secure our used inventory. And while we've seen an uptick in the number of trades that we saw a year ago on a new unit, our largest source of procurement, while it still is trades has been accelerated in other areas where we buy at auctions, where we buy from private parties, through classifieds, where we're buying at our stores, and that's all being driven by a digital initiative, the way we go out and look for new opportunities. And so when we talk about our relationships with campgrounds, our relationships in the rental business, our relationships with our Good Sam members, each one of those represents an opportunity to continue to grow our used inventory. As we continue to put our systems in place on the used side, consistent with what we did years ago on the new side, looking at every single market, every single type code, the seasonality that adjust with it, we really have gotten this down to a science and I would expect potentially additional used inventory growth in 2022, but more importantly, used revenue for growth in 2022. It's always been an important part of our business. But as we realized through this pandemic, the funnel of people wanting to be in the lifestyle has widened dramatically, and we're seeing people with different budget constraints, some on the high side, some wanting to buy a unit for $5,000 with cash. And we need to make sure that in each individual market at each location, we're servicing every one of those potential customers, because we know that when they buy an RV from our company or they buy an RV in the RV industry, it now sets them up nicely to be part of that installed base, which is ultimately where our company really makes its money in the short and the long-term through service, through F&I and through our Good Sam products and services. So that's why you see this huge drive towards used. I think the obvious answer behind why we're growing our used is we want to find some balance and we noticed that through that, through COVID and through the supply chain crunch the manufacturers are put in a tough spot. Subsequently dealers were put in a tough spot. And it's our opinion that we as a retailer can't put customers in a tough spot. So we need to provide alternatives for them, and we're going to continue to do that in years to come.
Joe Altobello: Got it. Thank you, Marcus
Operator: Thank you. Our next question comes from Mike Swartz with Truist Securities.
Mike Swartz: Hey, good morning everyone. Maybe just first question. Obviously a lot of concern around some of the retail numbers we've seen in the summer and maybe the impact of the dearth of inventory on that. Maybe Marcus now that we've seen some improvement in inventory, I know, it's come later in the quarter, maybe give us a sense of how you saw new vehicles trend through the quarter and maybe in October?
Marcus Lemonis: I'd like to have Matt Wagner answer that please.
Matthew Wagner: Yes. So we've been very methodical about working with all the manufacturers to ensure we have very clear understanding of every single segment and every type code of what we'd be receiving, and in turn we make certain that we'd be pricing it just for fair market pricing on the back end. As we monitor all of our competitors' websites to understand, what's going on in the marketplace and how are customers being satisfied, knowing full well that we could also throttle up our used inventory acquisition process, which the previous analysts had also asked about how we procuring our inventory, what's the spread. Well, we have seen a material decrease in our dependency on trade-in and rather a more material increase on the acquisition of used assets in the open marketplace. So we think that balance, as Marcus just reference, we're just trying to make sure that we're satisfying a specific segment and specific price points for all used consumers. So in the first part of the Q3, yes, we did come into Q3 with a little less inventory than we would have liked. However, as we continue to see the trends throughout the quarter, we're able to just modify our pricing to make sure that we are satisfying consumer demand heading into the back part of Q3. We feel very well positioned heading into Q4, but still we want to be conservative in terms of the expectations knowing that the manufacturers traditionally around Thanksgiving timeframe will be shut down as they do every year. So we know that we're going to lose a few production days there. And then around the Christmas holiday, there's also a shutdown period, which the manufacturers have always gone through, which we lose a few shutdown period -- production days there as well. So while we are more optimistic about the supply chain evening out, we also want to be realistic heading into next year where we're really planning for Q2 of next year in terms of the volume picking up again just as normal seasonal trends would dictate.
Marcus Lemonis: The silver lining -- just to add to that, the silver lining that Matt mentioned is where the trade rates have been. And so the number of new transactions that we have and the percentage of those transactions that have traded and he talked about the fact that we're not relying on that as much. And I think to be a little bit more bold about that statement, we're not relying on it as much, because it doesn't exist as much. And that's the best news for our industry, because the drop in trade rate means that we're seeing more first-time buyers. That's good news. What we also know is, we're starting to see a nice uptick in our historical installed RV-ers, coming back to the marketplace to upgrade their units. The supply being constrained, a lot of it was gobbled up by the first-time buyers. And we know that that installed base has grown and we have not seen any sort of indication that would tell us that those first-time buyers are doing anything, but enjoying the lifestyle. Now, we're having to spend a little bit more time on training or having to spend a little bit more time on orienting them with the marketplace and both the manufacturers, the campground owners and other organizations like us are helping those first-time buyers along. But the good news is, we're going to start to see the return of that installed base, looking to upgrade their unit, like they have historically every 3.5 to four years. And so, we're really excited about that, but we are nervous about where our inventory levels are going to be in 2022. We don't think it's just going to all of a sudden rise back up right away, but we do complement the manufacturers in doing what they can to help us level that out.
Mike Swartz: Thank you. And maybe just a follow-up Marcus, I think you mentioned that you're now targeting 12 to 15 door acquisitions a year going forward. Maybe help us understand, how much capital you're looking to commit to acquisitions going forward? And then, maybe how we think about the additional revenue and maybe even EBITDA coming from those acquisitions each year?
Marcus Lemonis: When you look at our leverage now down close to one time and you look at the amount of cash on our balance sheet and the amount of available cash for runway purposes that we can draw on and our floor plan and our other lines of credit that we don't need, but we see it out there is available. We believe we have a sizable war chest for acquisitions, probably the biggest one that I can think of in our history, when our leverage is this low. As you would imagine, the senior team that's in the room, put some sort of belt and suspenders around 12 or 15 because we know those are deliverable. But let me be very clear, if you look back over previous years, if an opportunity presents itself to do more than 12 to 15 and we think the economics are accretive to our business and they line up with our strategy in the right markets, at the right time, for the right price, with the right manufacturer lineup, that number could be bigger. Conversely, if market conditions punch us in an unexpected way six years from now, we may have to like we have in the past, pump the brakes a little bit just to make sure that our own house is in order. We don't see a need in the foreseeable future to do that, but we always go into every single year with that understanding that you can't make commitments without too far out without knowing where they're going to be. It's our expectation that, as we look at what we have signed up in an LOI already or what we have under development already, where the construction is actually happening, we feel very confident that 12 to 15 -- and everybody in the room is shaking their head is more than achievable. We'd like to exceed that. That's our goal. But to be realistic, we want to set the market expectation. Historically, we said eight to 10. We want to raise that number also because the size of our business is also bigger. And with 14,000 people working here today, we could absorb more than we could four or five years ago.
Mike Swartz: Okay. Thank you.
Operator: Thank you. We'll take our next question from Bret Jordan with Jefferies. 
Ethan Huntley: Hi, good morning. This is Ethan Huntley on for Bret. Thanks for taking my questions. Just one on the serious side of the business, it looks like gross margins were down about 740 basis points or so. Can you just sort of provide some color on what the drivers of that was?
Marcus Lemonis: Are you talking about the Good Sam plans and services business?
Ethan Huntley: Yes.
Marcus Lemonis: Yes. So we in the quarter intentionally accelerated the expense of certain marketing that we historically had deferred. It was about $3 million. And so we want to be clear that, the Good Sam business is healthier than it's ever been, but we did make a decision to accelerate some marketing expenses. And historically, where Good Sam records their marketing expenses is in the cost of goods line. Like unlike our retail business, where it's an SG&A item, it is in the cost of goods. So it creates a false sense of margin compression, when in fact we actually had a really great performance for the quarter, but we did accelerate about $3 million of marketing expense in the quarter. So nothing to be anything more than excited about that particular business.
Ethan Huntley: Okay. Good. That's helpful. Thank you. And maybe just sort of on the M&A front. We've had a fair amount of talk here on the call about it, but how are the multiples looking out there? Are we still seeing fairly reasonable multiples, or have they fluctuated at all given how well the business has been doing?
Marcus Lemonis: The same strategy – well, the industry is doing well. It's obviously good for every RV dealer, including the ones that have made the decision that, it's time for them to exit the industry for whatever reason, but it hasn't really changed the multiples surprisingly enough. And I think our strategy of looking at every single market, and doing that with really a combination of proprietary information and public information, to make that assessment. We look at a market and we say should, we build a store, or should we buy a store? What does it look like in that particular marketplace, and who are the players that are there. And historically, we have been pretty good at finding acquisitions between one in four times. Are there the exception sometimes when we buy it at zero? Yes. Is there also the exception where sometimes we buy it at five? Yes. But for the most part, we're operating on the lower side of that one to four average. And I want to be clear that's a multiple based on their historical earnings, not some pro forma model not some heavily adjusted model, and that is before we impute our own efficiencies and whether that's our floor plan financing, or our rebates, or our retail F&I numbers, or anything of the sorts. That's before that number. It's also before any upside that the retail business would gain, or camping world would gain through the distribution of its products through that business. If you really are looking at the math of it all, and you take a look at the fully affected multiple in a 12 month to 24 month forward-looking piece after you impute all of our efficiencies and all of our savings and all of our rebates et cetera, we think that multiple comes down anywhere between one and two times. We don't report it that way, because we think investors should hear what the true multiple is, and the true cash outlay is for that acquisition, but the truth be told, we actually know that we're going to improve on that materially, which is what allows us to continue to make these at such a rapid pace.
Ethan Huntley: Great. Thank you very much for taking my questions.
Operator: Thank you. Our next question comes from Rick Nelson with Stephens.
Rick Nelson: Hi. Thanks. Good morning. Marcus, we're hearing concerns about a flood of used RVs coming into the market. I'm curious, if you can comment there. And are you seeing any weakening of demand at all for used products?
Marcus Lemonis: Yeah. I would assume, when you say, you're hearing that it must be from private dealers, and traditionally, around this time of year, when their working capital is not as robust, because as private dealers, they take money out of the business on a regular basis to feed their families, and do whatever they need to do on a personal level that they find themselves wanting to exit used inventory as they go into the winter. And so it's not anything abnormal for you to hear that certain dealers want to sell. What they want to sell is to generate cash. We have seen absolutely the opposite from a consumer demand standpoint about their appetite for used. And we know that, the overall supply of used inventory in the marketplace is actually materially constrained, because if you increase dramatically the number of people that are in the lifestyle, and you have constraints on how many new RVs could be made, then you don't have a bunch of new units sort of generating trades, and all these other things. The overall marketplace has more interest in it, with the overall supply, only increasing by the number of new RVs manufacturer. We believe that, the demand for people wanting to come into the lifestyle exceeds the number of new RVs that are being made at this time. And so, we don't really know where that's coming from. From our perspective, we would love the phone numbers of all of those folks who would like to get out of their used inventory, because we would like to buy it.
Rick Nelson: Thanks for that color. So also, you're guiding to record profits here in 2021. You mentioned, you're targeting growth in 2022. If you could cover some of the puts and takes that you see in 2022 and the GPUs that you're enjoying now, where do you see those going?
Marcus Lemonis: Well, we always expect that our used GPUs will continue to maintain as they have for over a decade within a very tight range. There are moments in time where we choose to flush them inventory and there's some ebbs and flows. But on a four, five-year average, we feel like we're in that range and don't feel like anything is going to change. In fact, we continue to be excited about it. Sure, we expect that there's going to be some fluctuation in new margins over the next 24 months. Where in that 24 months it happens? We don't know. But we also know that because demand is so robust that any drop in margin would result in an increase in volume and as the investor community knows, we excel in other areas of that transaction other than just the front-end growth. Our finance and insurance numbers continue to be strong at north of 12%. Our products and service business continues to be strong with reconditioning and things of that nature. And so, we love volume, because volume feeds our entire business. We don't ever want to trade profitability for volume but we love volume. And so we expect that there'll be some puts and calls on, maybe margin comes down a little bit but volume goes up, but we don't expect to see that in the next six, eight, 10 months. Maybe there'll be a slight compression, but we don't think it's material. When we talk about achieving or exceeding from our internal forecasting, our 2021 results, it really is a foundational statement about where we think our business is and where our mix is in our business. I want to remind everybody that the bulk of our earnings come from more predictable sources and every single day we wake up we want to take and put more predictability in our business. That's why you see this push to used. That's why you see us expanding 500 service space on top of acquisitions. That's why you see us focusing on our Good Sam business, because 10% growth there really just falls through the bottom line. Increased used revenue, in most cases, falls to the bottom line because we're starting to truly get scale in our business. So as we think about 2022, we're expecting positive increases in all revenue lines at this point and obviously positive increases on the bottom line. And if margins do come down in one area, well, we'll tighten our belt on SG&A a little bit. And remember that the bulk of our cost structure is variable on the compensation side. So when growth goes down, so does compensation. Our goal is to keep revenue up, keep our gross profit, dollars up, so that everybody can continue to make really good money.
Rick Nelson: Thanks for that. Good luck as to push forward.
Marcus Lemonis: Thank you.
Operator: Thank you. We'll take our next question from Ryan Brinkman with JPMorgan.
Ryan Brinkman: Hi. Thanks for taking my question. Another one on the new vehicle retail side. I thought I'd ask on the sequential trend in new RV sales and what might be driving that? It looks like over the last seven years, you've averaged a 13% sequential 2Q to 3Q decline in new vehicle unit sales with the largest supposed declines being in 2018 and 2019 at 20% and 19% respectively relative to the 28% sequential decline. It looks like you just posted there in 3Q. So, I just wanted to check in how you're thinking about that? How we should be thinking about it? If the seemingly greater than seasonally expected decline whether you think demand remains just as strong and it's really just a function of the low inventory environment or some other factor? And in the past, I think you've alluded directionally at least to the number of orders placed with you by customers that you're waiting to receive from the manufacturers. I don't know if you're able to provide an update there even directionally whether that number has remained as high as it was previously which could confirm that there hasn't really been any deceleration in demand.
Matthew Wagner: That retail sale -- sold order position has remained relatively consistent beginning back in April of 2020 at this point where we do a very good job sourcing inventory from our existing stock. So that's one of the luxuries that we're afforded. It's just a larger multi-dealership entity. So I wouldn't say that I've seen a material decline or increase for that matter where we try to do our best to satisfy that customer as quickly as possible. And the way of the seasonal trends that you've identified, I think you'd have to carefully monitor what our new inventory levels are by each sequential quarter and measure it up against the turnover rate because when you're looking at turnover that will be that one static period that you're able to start to extrapolate out what those projections could be in terms of what that rate of sales seasonality should be. Because I would be the first to admit that there has been some sort of fluctuation in terms of normal seasonal trends because again, we're trying to manage our inventory position and what we view as incoming inventory in the future. As we stated previously there's going to be a little bit more of a dearth of possibility of production days that are available in November-December. So we're being very careful to actually plan heading into next year. Just as well though we see our margins that we're maintaining. We see the opportunity to continue to pump up demand -- to meet demand with the inventory that we have and we're able to continue to source used inventory to satisfy that demand. Where we're agnostic doing newer used. It's simply how can we continue to hit these revenue goals while maintaining our profitability. 
Marcus Lemonis: I think the most important takeaway from Q3 from our perspective is that in an environment where new sales were not as robust as we wanted them to be because of supply constraints, we were able as a management team to anticipate that in the middle of Q2 to make decisions that would set us up for Q3 with making sure that we kept our eye on the prize which was delivering a forecast that we said we were going to do. We had some SG&A tightening to do. We had more focus on service. We had more focused on used. And what that should tell you about our business is that we're better than anticipating what's going to happen next and making the corrective decisions or anticipatory offensive moves to account for that. At the end of the day, we are all paid on this call we serve at the pleasure of the investors and we are paid to deliver financial results that give them a return on capital and a return on their cash. And so from our perspective, we went into the quarter and said, where do we think we can maximize our profitability the most considering the fact that there are supply constraints. Not complaining about and appointing fingers we knew we needed to adjust. As we head into 2022 and we feel optimistic that we can beat our performance in 2021 we're making those same kind of assessments. What do we need to do? What do we need to eliminate? What do we need to improve? How do we resolve things? How do we change our mix? And every single person in the room with me today has their own respective area over a dozen people in the room have their own respective areas to know what their contribution needs to be from an improvement standpoint to make up for anything that may change in the marketplace, rising interest rates whatever it may be. And that is really the single biggest maturation tipping point for our company compared to where we were 10 years ago or even when we went public. We've really learned how to work better as a team. We understand the marketplace better and I think more than anything else we're utilizing proprietary internal data like we never have before to make really good decisions both predictive and real time. 
Ryan Brinkman: Great. That's encouraging. Thanks. And yes, you definitely found a way to deliver on and exceed the prior EBITDA outlook despite the supply constraint. Maybe just a couple of related questions on that including what are the supply constraints do you think? Obviously in the light vehicle industry you were being slammed by semiconductors. I know that the manufacturers have complained about a smaller discord of other things whether it's foam or whatever. And you've also alluded to before how you're helping them with their issues which is interesting for a retailer to be helping a manufacturer with manufacturing. Any update there? And then separate from that but also related any kind of an update you can provide on Happier Camper. I mean it seems like Happier Camper could be one way for you to obtain some new vehicle inventory independent of what's available from the traditional manufacturers. Maybe you can remind me -- I think you own all of Happier Camper and so you can secure 100% of whatever they produce? And is there any update on when they may enter production and you could start to get some of those units? And I'm not sure also if you put out any number around how many campers you might be able to sort of annually procure from them? Thanks.
Marcus Lemonis: So we are a minority shareholder in Happier Camper and our investment in that business was not to acquire additional new inventory. We really enjoy the sales process that Happier Camper has in selling direct-to-consumer today. And while we have the optionality of selling it in certain markets, we really believe that that business has it figured out from a consumer experience and quite frankly, we enjoyed learning from some of the things that they do. Our investment in that business was 100% around the adaptive technology that they've developed and their ability to create parts and pieces that go inside of shelves. And our exploitation of that knowledge and that proprietary development, is what we hope to not only put into our business but potentially even lend to our manufacturing partners that we already have today. If there are ways for this industry to work together to help each other grow and find a larger base so that we can sell one million new RVs as an industry, as opposed to 500,000, we are a direct benefactor of that because of, how much we feed off of the installed base. So the Happier Camper business, we love the management team there, we love their performance. I wish, I could tell you that, I wanted to order one today, it would probably take me two years to get it, for myself. And so that's how robust demand is there. And we're working with them to look at, how we can improve production there but in a profitable manner, really smartly and profitably to not change the consumer experience. I want to go back to your, first question, because it's probably the most exciting part of our business. And we have a team member Ryan Biren, who oversees not only our retail business but he oversees our vertical opportunities there, to not only grow our margins internally, through sourcing in our retail business, through adding value to our own units that we partner with manufacturers but also to be a continued supplier to the manufacturers. And we enjoy very healthy relationships with Lippert, amazing company. Patrick's Industries, amazing company, but we feel like there's room for us to play in that space to find other niche opportunities and whether that's on the furniture side or whether that's on the phone side or whether that's on the air conditioning side or whether that's in understanding the aftermarket space better than anybody and developing things that fit as a complement to what Lippert, does as a complement to what Patrick, does. And more importantly, as an added value to our relationship with Thor Forest River and Winnebago, if we can develop something at the same time that other people are working on other things, then the boat rises for everybody. And so you would continue to expect to hear Ryan Biren's name, for many years to come and expect our dominance in certain parts of our business to be supported by little twists and turns and improvements that we're making on sourcing, innovation, engineering, product development and then with all those the distribution of those products. 
Ryan Brinkman: That’s great. Color. Thank you.
Operator: The next question comes from Gerrick Johnson with BMO Capital Markets. 
Gerrick Johnson: Good morning, Marcus. Two questions. First on adjusted SG&A, as a percent of gross margins up 240 basis points year-over-year. Can you just talk about that increase?
Marcus Lemonis: No. We obviously -- we're a little bit more aggressive in growing our used business, our rental business, our Good Sam business and that costs money, right? We understand that there's an investment required to grow different parts of our business. We've also provided some onetime bonuses to unbelievable performers at the field level, who quite frankly over the last 15, 18 months have delivered exceptional results in the face of the pandemic. And I think we paid out about $5 million more, than we normally would have, to specific field operators, who just really delivered. That's general managers all the way down to our service team to our call center et cetera to really make sure that we're taking care of those. And so a combination of a little bit more in marketing to launch. As you know, we launched later in the quarter, our rental business and we're just getting started there and then the rest is enhanced compensation to those team members who deserve the recognition that they hadn't previously received.
Gerrick Johnson: Okay. Congratulations to the team. My next question I think Marcus, might irritate you but if I'm not irritating you I don't think I'm doing my job. But can you talk about the decision not to attend the Hershey RV show? And there are basically two questions embedded here: The first is what was the direct impact to the quarter? How much could you save by not going? And how did you replace the revenue that you may have missed? And then the second part is as a result of your experience, how do you feel about shows going forward? Will you be attending Cleveland and Tampa?
Marcus Lemonis: So we look at shows. We're in the show business as a segment of our company and it's a profitable venture. But we've had to make some decisions even in that business to decide which ones to continue with or not. But I'm going to have our partner in crime Josh Erickson who oversees our dealerships who -- him and I had a lot of healthy discussions about this particular topic and I think he's maybe converted.
Josh Erickson: Sure. Yeah. No, I think the strategy behind not going to Hershey was -- yeah more than anything else. Our fear that we couldn't cash contract coming out of Hershey meaning the majority of what we were going to sell over the course of those five days would have been orders that would have not have landed right now. They're now scheduled to land somewhere around March. So we stayed home. We sold what we had on the lots and that Monday as most dealers were going home with just a bunch of orders, we were cashing contracts and we put up a record September. So it was more just point out the idea that we didn't think we'd delivered anything if we went to Hershey.
Marcus Lemonis: I think if you really looked at the financials, as we did internally and you look at the cost associated with transporting units and transporting people and all the marketing that goes into it and the distractions coupled with some of our continued COVID concerns and exposing both our employees, our manufacturers and our customers to an environment that we just weren't comfortable with, it made more sense for us to stay home, spend a considerable amount of money, but a fraction of what we used to driving business to our own locations in that region. And the financial results of that particular area, that region that historically has been the largest benefactor of Hershey were materially greater than they had been. Simply stated, we decided to stay home to make more money and to control the customer experience. Our decisions about going to shows are a market-by-market decision, based on where we think we can penetrate the market and ultimately can we be more profitable staying home or going to shows. Then we haven't made any decisions about what we're going to be doing going forward because we want to really do the analysis on what is our opportunity to stay home and drive repetitive traffic to our existing locations, drive repetitive traffic to our existing retail business, drive repetitive traffic to our service space. And when you go to shows, you miss some of those opportunities and we are a different company than just a company that sells new RVs. And so, our financial results for September were exceptional better than any September we had ever had even when we sold 700 units at Hershey. And just to clarify, our volume is exceptional in those markets as well.
Josh Erickson: Yeah. And then we geo-fenced the show with the intention of pursuing all of those deals that are just deposits. So we are actively chasing down those deals that are in the marketplace based on our availability of product. Again, most of those units won't deliver still sometime in March, which means every one of those deals is vulnerable right now for another dealer to come in and pick up those deals. So that is our game plan. We geo-fenced the whole show all 50,000-some-odd people and we're pursuing that marketplace now.
Gerrick Johnson: Thank you, Marcus. Thank you.
Marcus Lemonis: Yeah.
Operator: Thank you. The next question comes from Craig Kennison with Baird.
Craig Kennison: Sorry. Thanks for taking my question. Good morning. Just looking at your new and used average selling prices you're at record levels. Is there a point at which you become concerned about affordability for your RV consumer?
Marcus Lemonis: No, our used -- that's a good question though. I mean, I think a combination of mix and our leaning into higher-priced used because we're concerned about chip shortages on the new motor home side that drove a little bit of that. I think also you're seeing higher margins, so that drove a little bit of it as well. But we as you know we play in a lower average price point than most people do predominantly because we're not as -- we don't have as much of a presence on the new diesel side as some of our competitors and some of the average dealers. But no, we're not concerned about it yet Craig to be honest. When you look at financing terms that go from 180 months to 240 months and interest rates being what they are, we're not concerned about it. We will continue to always be focused on our average selling price, but more importantly, more importantly, on our average stocking price. Because that's really where we think there is some opportunity. And so, as we get into the a spring selling season and feel our new baskets up remember that the part of our Inventory that dropped the most, we're the first-time buyer in expensive travel trailers that I would say, we were short on in Q3. And how do we have those we would have sold them. Have they sold they would have driven down our ASP by a considerable amount maybe $4,000 or $5,000, because we may be selling things at the $22,000, $23,000, $24,000, $25,000 range. The missing units in that category on every dealer's lot including our own is probably what hyperbolically exaggerated that number, but we do pay attention to it and we're glad that other people are as well.
Craig Kennison: Thanks for that. And on the stocking side, what type of -- what level of cost increases are you facing from manufacturers, who themselves are facing cost pressure from suppliers tied to inflation and commodity pressures?
Marcus Lemonis: We're seeing on average anywhere between 14% and 20%. It really depends on the type of unit from last year. And obviously, we know that the manufacturers have even taken in some cases sometimes more than that but, we haven't seen any resistance there. And we don't know how long that will last. Obviously when you look at the parts and pieces that are accumulated whether it's wood, or aluminum, or foam, or whatever it may be, even in our own furniture business, when we look at trying to build a couch from a year ago it is more expensive. We don't see anything in the industry that is alarming, but we do hope, that over time, as the supply and demand curve sort of normalize that will normalize as well.
Craig Kennison: Great. Thank you.
Operator: Thank you. [Operator Instructions] We'll take our next question from Jim Chartier with Monness Crespi Hardt.
Jim Chartier: Good morning. Thanks for taking my questions. First one to ask about the gross margin decline in product services and other, I think it was down over 700 basis points. Any color there? And then, the EBITDA reconciliation had $17 million plus of restructuring costs. Curious where those were in the P&L?
Marcus Lemonis: Yes. So we -- as everybody knows we made a decision a couple of years ago to exit certain segments of the business. We completed that exit in Q3 of 2021. And we liquidated about $40-some-odd million worth of product at either cost or less than cost, in most cases less than cost. Our focus was really looking at all of these parts of our business. And in this particular case, it was a finality of a strategic shift. In other parts of our business, we're looking to eradicate anything that looks like it isn't a good margin. And so when you look at our Good Sam business separate from this retail business, we're always looking at every single product in service that we sell is it profitable. A small example would be in our ESP our warranty business we were doing business with a couple of new auto manufacturers. And when you look at the margins, and the SG&A, and the cost of acquisition it just wasn't ultimately as profitable for us. Our job is to take the capital that the investment community gives us and to maximize every single dollar give them a turn and give them a return and give them a return. And when we don't do that, we have to change courses. So that really is what that was on the retail side.
Jim Chartier: Okay. And then on F&I, I think it's the first time in five quarters that F&I rate was up, despite a big mix shift towards used which I think historically carries lower F&I. So just wondering what was behind that? 
Marcus Lemonis: So our used business was a real focus for us as everybody knows in the quarter and we did a lot of extra training on the used sale F&I process and really making sure that we slowed everybody down and we reinforced our training on what the proper presentation is on unused. I think historically we made some assumptions that we shouldn't have made and we now are looking at it very differently. Historically most dealers including us looked at new and used and sort of just dumped it into a bucket and we've made the decision, Josh and Matt and the rest of the team who made the decision to really look at used as a stand-alone department and really look at every piece from the way we recondition it to the way we desk get it on the sales process to the way that we even sell it in F&I to the way we think about it in service. And so I think you're seeing just continued excellent execution on the training side and on the process side. 
Jim Chartier: Great. And then just lastly you mentioned a record September. Did that include new vehicle sales? Is that also a record in September? 
Marcus Lemonis: No. Our new vehicle sales from a volume standpoint were not a record, but they were a record from a gross profit standpoint. They were not a record from a volume standpoint, but they were a record from how we pay our bills with gross profit. And so we were very excited and we expect those trends to continue within a range for the foreseeable future and we've already started enjoying that -- those kind of results again in October. We feel really good which is why we were confident to raise our guidance for the year from $915 million to $930 million off of a much lower number and why we feel confident that in 2022, we'll be able to outperform our financial results from 2021. 
Jim Chartier: All right. Thank you.
Operator: It appears there are no further questions at this time. I'd like to turn the call back to the management for any additional or closing remarks. 
Marcus Lemonis: On behalf of our 14000-plus team members, we hope that the investment community is very proud and happy of our execution. As a team -- as a management team, we know there are always areas that have room for improvement and we'll continue to find those areas of room for improvement. But as we look at 2022, we're excited to finish up our budgeting process and come back to you with a very realistic number of where we think '22 is which as we've said in the past. Internally, we believe that that number will outperform 2021. So, thank you again and we look forward to reporting our Q4 results and our '22 forecast in February. Take care. 
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.